Jack Bowles: Good morning everyone, I am Jack Bowles, Chief Executive of BAT, and I am here with, Tadeu Marroco, Group Finance and Transformation Director. We are very happy to be here this morning, to present our 2021 Interim Results. I hope everyone listening this morning and your family and friends are well. Today, I will provide an update on our strong progress towards building A Better Tomorrow and creating the enterprise of the future. And Tadeu will share more detail on our performance in the first half, and outlook for the full year.
Tadeu Marroco: Thank you, Jack. In the first half, we have delivered a strong progress against the key financial focus areas I set out last year. We have delivered over £900 million of total savings from Quantum to-date with the £1 billion of annualized savings now expected 12 months earlier. Together with the value from combustibles this has enabled further investments to accelerate New Category revenue growth in H1. We remain confident in reducing the losses from New Categories by the full year with a clear pathway to profitability by 2025. This will be driven by maximizing our marketing spend effectiveness alongside scale benefits and the reduction in trade margins.
Jack Bowles: Thank you Tadeu. So, in the first half, we have generated excellent New Category revenue growth share gains across all three New Categories and our fastest growth in consumer numbers to date, delivering on our three operational priorities. This momentum is giving us increased scale. In New Categories, we are well on track to reduce full year New Category losses in 2021 with a clear pathway to our £5 billion revenue target and to profitability by 2025. As we reach our leverage target at the end of the year, our capital allocation flexibility increases. As we said in our preliminary results in February, 2021 will be a pivotal year. We are committed to transforming BAT to a high-growth multi-category consumer-led CPG with a reduced impact on public health and ESG at its core, creating value for all our stakeholders. Our established multi-category strategy is working and our transformation is accelerating. We are building strong global brands with Vuse glo and Velo and continue to drive the digitalization of the whole business at speed. BAT is changing rapidly, powered by our ethos. We are creating the Enterprise of the Future. And I look forward to the second half and I'm excited about the future for BAT. Thank you for listening to this presentation. This presentation is available on our new website, which I'm pleased to say, has been recently upgraded. Thank you and I will now open it up to questions. 
Operator:  The first one comes from the line of Richard Felton from Goldman Sachs. Please go ahead.
Richard Felton: Good morning. Thank you for the question. My first question is on the topic of cash returns. Your target leverage range is 2 to 3 times net debt to EBITDA. But Jack I think you've previously described being at 3 times is removing the straight jacket. So I just want to clarify how you're thinking about capital allocation. And would you be comfortable starting a cash return program and running your balance sheet, while you're still at the upper end of that 2 to 3 times net debt-to-EBITDA range? That's my first question.
Jack Bowles: Yes, thank you very much. First of all, I must say that, we are very pleased with the momentum that we're having at the moment. And as we said, the end of the year is the time for these reviews. Of course, I mean, we like capital allocation. We've done it in the past. And we said very clearly that we will do, of course, the deleverage of the company. We're true to our dividend and we want to invest in the business. As you saw the investment in the business is paying off very well and will continue to do so. So by the end of the year we will review again the situation. 
Richard Felton: Thank you. My second question is quite a specific one on Vuse.
Jack Bowles: On Vuse?
Richard Felton: You mentioned in the -- on Vuse. You mentioned in the presentation that, improved trade margin are one element of driving better profitability for your Vapour category. I was wondering if you could share some numbers around that please. I think you said that trade margins for Vapour were around about 40% at your CMD in March last year. Have you seen any material improvement in that over the last 18 months? 
Jack Bowles: Yes. I mean, Tadeu is going to complete the answer. But I think what's very important with Vuse now is that we have scale. So we can go to optimization, we can reduce the trade margins and we can accelerate on our growth. We have built a very strong brand and that is what is the most important. So people are coming back to the thing. But, Tadeu, do you want to add something?
Tadeu Marroco: Yes, the margins depend a lot on the country where you are and the channel that we are commercializing. So one thing that I would say, vape stores are very high margins and -- like 70 plus. And the trends moving from open system to closed system is leading the commercialization towards more convenience stores where margins are around 40%. That's the number we have quoted in the CMD probably that you have in mind. Now what's happening is that, first of all, we are increasing our presence in e-commerce and the margins in e-comm are fantastic. And 40%, like you saw today, is already with subscription, which makes it even more interesting, because there you have more loyalty and the margins are even 3 times more than what you sell in the convenience stores. And on top of that, with the leadership that we're acquiring now in places like France, like U.K., we are able now to renegotiate margins with some of these key accounts, moving from a specific, for example, percentage of revenue to a margin pay-for-performance, for example, which also translate in improved margins. So that's why we refer to profitability where we include trade margin management as part of this.
Jack Bowles: So we have a very clear path to profitability on e-cigarettes.
Richard Felton: Very clear. Thank you.
Operator: Thank you. The next question comes from the line of Gaurav Jain from Barclays. Please go ahead.
Gaurav Jain: Hi. Good morning.
Jack Bowles: Good morning.
Gaurav Jain: Thanks a lot for taking my questions. So my first question is, on the guidance for the year. So 1H revenue is about 8%, full year guidance is 5% plus. So that will indicate a significant slowdown in 2H, when I think, still you would probably have easy comps, especially in emerging markets. So could you just help us understand where you might see the slowdown?
Jack Bowles: Well, first of all, I think what's important to consider is that we have strong momentum and that momentum will continue to build on. Then the other thing is, I prefer to be reasonable and to have the space, as we were referred to earlier, a very straight jacket in the past and we have a bit more space to invest in the business. You see that there is a very strong result in terms of combustible and in terms of new categories growth. I think that the second half of the year is going to be comparing with higher comparators of the second half of last year, which was very strong, and we are reaffirming our guidance.
Gaurav Jain: Sure. Thank you.
Jack Bowles: Thank you very much.
Gaurav Jain: The second question I have is on the US market.
Jack Bowles: Yes.
Gaurav Jain: So look your pricing right now is ahead of competition. And we are seeing in the recent data that you are beginning to lose share on the US cigarette side of things. And then when I look at the amount of investment you are doing in new categories if I look at for instance your Modern Oral realization in the US, it's a fraction of your key competitor there. So if you keep increasing prices in cigarettes at a level which is ahead of competition to fund these new category investments, isn't it a risk that you are carrying that at some point of time your share losses in the cigarette market just accelerate?
Jack Bowles: Yes. I think it's a very good question. What you have to consider is available income and income in general in the US is quite strong. Price elasticity is 3.4 as it was last year. And what you see is you have a huge resilience of our brands in terms of market share and we're growing premium share in the US. So we are always doing the balance. As I said, it's one of the key priorities of the group, which is extracting the value of our combustible business and that's what we are doing. So we're taking more pricing than competition. We are having all the tools that we need in terms of digital to make decisions shop-by-shop, city-by-city, state-by-state and at the national level and by channels, and we are able to grow our value share. So I think that the fact of having these tools that allow us to navigate through all this allows us to take more pricing than competition and continue to grow value share. So, of course, we're reviewing that all the time with the US team. But I must say that the performance in the US has been extremely good. We're growing share in premium. 
Gaurav Jain: Okay. And my last question is just on device launches in glo. So your competitors are launching new devices in the next month. And they have laid out a road map of how we should think of device launches that every year there is iteration or in every three years there is a major change in platform. How do -- how should we think about device launches in glo this year and over the next few years?
Jack Bowles: Okay. Of course, there will be innovation. Of course, there will be innovation. What I must say is that we were the first one to launch the new device with Hyper. And I think that with induction heating, I think, that's a testament of the quality of the innovation that we have. I think that we have improved significantly the consumables and we'll continue to do so also in the months to come. And I think that in a competitive environment, competition is going to launch new products, fine. What we see is that we're getting a huge chunk of the growth of the category everywhere we are present now. And remember we said in the presentation, we're only in half of the markets where THP is sold at the moment. So there is a lot of space for us to continue to grow. I think that the price of our sticks is very competitive and in line with competition. Tadeu referred to 90 -- above 90% of -- sorry?
Tadeu Marroco: In the index, yes.
Jack Bowles: Yes. In terms of the index, and I think that we have a very good formula for the consumer. As you saw in the charts in every market that we have launched we are growing share significantly and at pace capturing more than our fair share of the growth of the category. We have now 16.1 million consumers in new categories. Who would have said that two years ago? I remember vividly, and sorry for taking the opportunity, but two years ago when Tadeu and myself we stood up and we said we're going to transform the group, have a new purpose and develop the company to a new pace. I mean, everybody said yes, right strategy, but let's see the result. Now let me tell you in the second half of the year, we grew the three categories in -- of last year. We grew the three categories in terms of volume by around 50%. We do the same and even more this time and we have a record of 2.6 million consumers additional in this half of 2021. So we have momentum, we have the right products, we have the innovation to come and it's a competitive environment. Yes, let's enjoy the competition. Remember also that in terms of e-cigarettes, we're the leaders worldwide and in the US where we're weak. Two years ago people told me, there is no way you're going to take a position in the US, okay? Now we are a leader in 20 states in the US, out of the Modern Oral now, out of the 18 markets that we are in, we are leaders in 16. And we had a gap in Modern Oral in the US. We acquired the products that we needed. We've put our brand behind it and we grew 10 share points in the meantime. So we're in consumer acquisition mode and we are delivering the revenue at 50% growth.
Gaurav Jain: That's very helpful, Jack. Thanks a lot.
Jack Bowles: Thank you very much.
Operator: Thank you. The next question comes from the line of Rey Wium from SBG Securities. Please go ahead.
Rey Wium: Hi, Jack, Tadeu. Thank you for the opportunity.
Jack Bowles: Hi. How are you?
Rey Wium: All good. Thanks. I just want to start off with the vapor category, I mean obviously loss-making and you indicated you're working towards profitability by 2025. But I mean is there any color that you can give us in terms of costs relative to revenue? I mean what is the extent of the costs relative to revenue? Are costs basically like currently double of revenue, or is it a little bit less? And maybe just on that if you maybe can just give us sort of a steer, which markets do you think will achieve profitability first? So that is my first question.
Jack Bowles: Thank you very much. Tadeu?
Tadeu Marroco: Yes. Look, when you see the numbers, BAT is a consolidation of different markets in different moments in different stages. We are already in positive territory in the three categories in specific markets. If you take for example, THP in Japan, we are already in a profitable position there. You take vapor in place like Canada for example, and we are heading into profitability very soon as well. In Modern Oral, most of the markets we are already in the positive territory, because the -- what I can tell you is that in terms of different categories, the Modern Oral category has a very short payback. So, it's around 15 months you have -- you're already in a positive territory, because the margins are very high, even more competitive than the ones that we see today for cigarette. There is no device involved on that. The vapor situation is we are progressing very fast in terms of margins. We spoke before about trade margins. The biggest lever that we have actually now is the cost of goods sold. As we gain scale, we are moving from manual lines to automated lines and this is translating to massive cost reductions for us across the group. So, we have -- we are very, very pleased with the progress we are making in terms of margins in vapor. In THP, the margins are attractive. They are compared with cigarettes. We note that there will be some headwinds coming from excise, but we also have opportunities in terms of the cost of the consumables itself. It's a question of acquiring consumers. And we are in this acquisition mode that Jack was referring to. And the levels of conversion are increasing. And we are quite excited about that, because as we put our device on the hand of consumers, they really enjoy the -- either the liquids on the vapor side or the consumables on the THC side. And we see more and more loyalty coming along. So the levels of conversion are very high. So, all these losses that we are referring to, is actually digital-driven and consumer-driven. And the time line that I'm referring is basically in a -- it's us moving along the journey of expanding this through different geographies. But surely, we have already markets that are coming on the positive side.
Jack Bowles: Always remember, we speak about digital and digital is extremely at the core of BAT. And not only in marketing, where we have now databases with 12 million consumers of new categories, we have three times more than that in terms of combustible consumers, but it's also going through the whole supply chain. It is also going through the whole way we operate. And that has huge benefits in terms of enabling us to deliver the savings of Quantum where we have put the £1 billion to £1.5 billion now, and the acceleration of consumer engagement and that has allowed us to being far more effective. So, now that we have scales, we can build the brands to have very strong and very effective brands, supported by digitalization. That will in turn give us the profitability in these New Categories. We say already that despite the size of the investments that you saw last year and this year that we are going to start to reduce the losses this year, which is a very, very good milestone. So, consumer acquisitions start to reduce the losses. NTO is growing very fast. So revenue up 50%, not a bad score, across the three categories a very, very good score. And we'll continue our road to profitability. The pathway to profitability per category is absolutely clear. Question?
Operator: Thank you.
Jack Bowles: Thank you very much.
Operator: The next question comes from the line of Jemima Benstead from Citi. Please go ahead.
Jack Bowles: Hello.
Jemima Benstead: Hi. Good morning.
Jack Bowles: Good morning.
Jemima Benstead: Good morning, guys. Thank you for the presentation. Most of my questions have been answered, but just a couple more. My first one is on emerging markets. You obviously saw very good growth in H1 and that contributed to your full year industry volume upgrade. I know you flagged the tough comps in the second half, but can you talk a bit about the ongoing drivers of momentum in the second half and how we should think about price/mix developing? Thank you.
Jack Bowles: Yes. In terms of -- Tadeu will take price/mix. But in terms of emerging markets, as you saw last year there was a very big slowdown related to pandemic. What we've seen in the first half of the year is recovery in terms of emerging markets. And as you know, though it's 25% of our revenue, it's more than 50% of our volume. And what you saw is very strong performance in our businesses across the patch. Of course, it's a mixed bag, because you have countries like South Africa where you still have a lot of issues in terms of lockdowns and in terms of illicit and things like that. But overall, emerging markets much more volume. So of course it comes, at a cost of a lower margin, but it's a very, very good performance. And that allows us to have a very strong performance, in terms of our combustible business. But Tadeu, a bit more color.
Tadeu Marroco: Yes. In terms of pricing, we are seeing the similar levels of pricing that we saw in the previous year. There is no much excise ad hoc happening. We had one in Russia. We had another one in Indonesia. These are the outliers, I would say. We are not seeing this across the patch. And hence, the price/mix is not much different, because we are not also seeing much of the acceleration in terms of down trading. We have seen some punctual movements in terms for example Brazil, where illicit trade reduced. And we absorbed more volume in the low-end. And hence the mix gets a bit impacted by that. But this is more volume coming from illicit, to the more low-end of the market. Overall, illicit is slightly better in the first half of the year which is a positive as well. And so I would say that these are the major trends.
Jemima Benstead: Thank you.
Jack Bowles: So it's more the geographical mix. The pricing is very strong.
Jemima Benstead: Thank you. And then, just my second question just a clarification around guidance please. You quantified the GBP170 million, impact from the excise changes in Australia. I just wanted to check was this magnitude previously included within that mid-single-digit constant currency EPS growth guidance that you've already given, or are you facing a greater headwind but you're still able to deliver the EPS guidance? Thank you.
Jack Bowles: I mean, before Tadeu gives you a broader answer on that, in the time of COVID and in the time of the business where we are in where New Categories are developing quite fast. And where combustible business is having -- is enjoying a strong pricing environment. There are pros and cons or there are ins and outs. And the fact of Australia is something that is happening. And because we have a very strong top line growth, we are able to manage this and to continue to invest very strongly in our business. I think I was referring earlier to a straight jacket. Now we have more space to be able to take care and to cater for these, kind of things, and to move on. Tadeu?
Tadeu Marroco: Yeah, Jack is absolutely right. The strength in the top line of the business is which is promoted by not just the volume recovering from a lower comparator due to COVID, but more importantly the New Category is accelerating which like I mentioned in my presentation one-third of the revenue growth is already coming from New Categories. So this is -- and plus the initiatives we are doing in terms of cost saving the program we are accelerating Quantum, is giving us the possibility to absorb those shocks. So this is one shock of 150 -- GBP170 million is not a small one. And this is a good thing for the market in the long run. But we have a hit in the particular -- in this particular market that also impacts the revenue in the second half of the year by the way and related to the excise. And when we articulate the guidance of mid-single digits we are considering the absorption of this hit. And also the fact that like we said before, since the beginning of the year, the transaction FX this year is double of what we saw last year. Some companies in our sector they prefer to provide constant guidance excluding transaction. We don't do that. In our constant guidance we have transaction in. Otherwise, we will be here upgrading the guidance for all of you. But we have a shock of 2% equivalent in terms of transaction effects, which is part of our mid-single-digit guidance. And also the fact that like we said since the beginning of the year, India is going through a tough time in terms of COVID. And hence, the ITC performance is being impacted by that. This translated us in a very short kicker between operating profit EPS in particular this year for BAT. So I think that that's the overall story around the mid-single-digit target.
Jack Bowles: Yeah, maybe an additional point, I mean, I said very clearly that the three priorities of the group are including the fact of going for value share, but when important and adequately we'll differentiate, the right way. We'll make sure that our business is continuing to foster, because this is delivering the money that we need in order to continue to grow our business. So this is for the sustainability, that 50% growth in terms of New Categories and that, 16.1 million consumers that we have in New Categories. Thank you.
Jemima Benstead: Thank you.
Operator: Thank you. The next question comes from the line of Karim Ladha from Independent Franchise Partners. Please go ahead.
Karim Ladha: Good morning, Jack. Good morning, Tadeu.
Tadeu Marroco: Good morning.
Karim Ladha: Thanks for taking my question. So your operational execution since taking the helm has been strong. And as shareholders, we've been impressed with your ability to both invest in your next-gen platforms as well as to deliver solid earnings growth.
Jack Bowles: Well thank you.
Karim Ladha: The market though is not giving you credit for this. You're trading on just eight times EBITDA. And at GBP28 there is opportunity to create enormous value by buying back stock in size and doing so before your investments in next-gen platforms start to materialize in your financial results. And of course, you'll be in a position to buy back shares next year, as your leverage comes down. But given the burden of your dividend, your buyback capacity will be just GBP2 billion to GBP3 billion a year. And we understand that your dividend is important to a portion of your shareholders, but overall shareholder value creation must be your guiding principle rather than catering to the needs of a specific subset of dividend-focused shareholders. For example, if you halved the dividend in 2022 your buyback capacity increases to £5 billion a year. You could buy back half your shares in just five years. So with that context, our question is, under what circumstances can we expect you and the Board to reconsider the dividend in the short-term, in order to more aggressively pursue buybacks to drive long-term shareholder value? 
Jack Bowles: Yes. Thank you very much for your question. I think it's an interesting question and we're reviewing this subject on a regular basis. I think that I said, very clearly that capital allocation will be reviewed at the end of the year. And the end of the year not so far we're in July. Yet, you have always to consider the net debt to EBITDA that we have and the investment we are making into the business. So I, think that the long-term sustainability of the company is the first priority that we have. Of course, it's a very attractive tool to be used. But as we said I mean it's going to be towards the end of the year. Tadeu, you want to add? 
Tadeu Marroco: Yes. Look we are definitely very committed to delivering shareholder returns. And we believe that the commitment in dividend as a means of shareholder return. But the Board recognized the value of share buyback. That's the reason, why we have done that in the past. This is not new for BAT. And over -- if you see in a broader time horizon, like I said in the presentation, we -- this is a very cash-generative company. We expect to generate £40 billion of cash over the next five years. So there will be plenty of opportunities for us in terms of capital allocation. But our priority right now, is the dividend payout of 65% continue investing in the business in the New Category space, like we have just done in Organigram or in the companies we acquired through our corporate venture arm. And we will then, pay down the debt to get to us to the revised corridor between three to two of leverage on the balance sheet. And then like Jack said, we'll have more flexibility to reassess capital or cash, which is something that we're doing in a constantly basis. 
Jack Bowles: So we really do understand your interest and it's about a short time frame towards the end of the year. 
Karim Ladha: Great, thanks.
Jack Bowles: Thank you very much
Operator: The next question comes from the line of Alicia Forry from Investec. Please go ahead. 
Jack Bowles: Hey, good morning.
Alicia Forry: Hi, good morning, to you both. And thank you for the detail on the New Categories' profitability. That's very helpful. My first question, is on the Modern Oral category and specifically, on the US I mean volumes up 450% but revenue up only 29%. I appreciate you're in customer acquisition mode. But is this dynamic, primarily actions that you're specifically taking or reflective of the broader category? And how long do you expect this customer acquisition phase or dynamic to persist for you? Should we expect this category in the US to become profitable within the next 18 months, or is it a unique situation that will take longer? That's the first question. 
Jack Bowles: Okay. Thank you very much. I think what you have to be cognizant of it's a small category in the US it's 1.6% of total nicotine. Then, we had a gap in terms of the portfolio. So we had a very little share of that segment, which we didn't like because we're the leaders in the rest of the world in terms of Modern Oral. So we acquired the company that we need. And I must say that it is quite normal, now that you have I would say, three players that are actively pursuing this segment that you will have promotions and consumer acquisition. I think we're doing two things at the same time because we know that that category is interesting to the consumer. One, is geo expansion. And as Tadeu said we went from 6,000 to 80,000 outlets and we'll continue to grow the outlets, then we'll go more for active distribution further than numerical distribution. And at the same time we are building the brand. And we know already, that in terms of marketing parameters we are very well rated and our awareness is already at the level of the leader in the category. So we are growing 10 share points in the category. You have to go fast in these categories, in order to benefit from the geo expansion and the fact that it's a new category in the market for the consumers. So I think that it is playing completely in our hands, to make sure that we grow to a sizable position. When then you can have scale, you can have economies of scale, you can have distribution effectiveness and your brand building is taking over from your consumer acquisition.  So it's a very normal journey. How long will it last? That's a good question. Let me grow my share for a few more periods and then I will tell you, where we stand moving forward. That can be a profitable category. But again it's 1.6% of the total nicotine market in the US 
Alicia Forry: Thank you. If I could follow up on Modern Oral in APME where volumes were up 500% appreciate off a very small base. But it's a region where we perhaps have a bit less visibility on that category. Can you discuss, as far as you're able to your strategy for expanding Modern Oral in that region perhaps some markets that you're targeting and government attitudes et cetera? 
Jack Bowles: Yes. I've always said that Modern Oral in terms of consumers makes a lot of sense for emerging markets because you don't have a device. The return on investment as Tadeu, said is very quick. You'll need to have local manufacturing, because that's not a product that travels extremely well with the level of moistures and everything. But the reality is, we have a very strong base in terms of emerging markets and we see that in terms of consumer affinity. There are lots of markets between Africa and Southeast Asia, where you have a lot of permeability and receptivity from the consumers. So we are doing pilots and tests and launching in some markets in order to learn more. The thing also is you have to craft and you have to sit at the table with the regulators in order to have a regulatory framework that allows us to have sustainability in the establishment of that category. So, I think that there's a huge benefit for the consumers because most of the time they cannot afford devices before they get into buying consumables or buying pods. And it is a strong add equation with the palate of the consumer and the ritual is well accepted. So, it's a question of pursuing in the development of these places. So you will have places like the Southeast Asia and some places in Africa, where it will grow very fast. We have to set the frame and establish as we go along. Always, in all the New Categories, what we've done is, there is a difference between speed and rush. I want high speed. I don't want rush. I want the possibility to establish and to learn and then make the investment because I want to have a rational approach in terms of resource allocation in terms of the three categories and in terms of the different geographies.
Alicia Forry: Thank you. I’ll pass it on.
Jack Bowles: Thank you.
Operator: Thank you. The next question comes from the line of Jon Leinster from Societe Generale. Please go ahead.
Jon Leinster: Hi, good morning gentlemen. A couple of questions. First of all, in terms of Japan, obviously, there was a tax increase in October last year, which you've absorbed. There's another tax increase in October this year. Are you -- given the changes, are you expecting another significant tax absorption on heated tobacco, or is it now fairly equalized? 
Jack Bowles: Are you referring to our pricing position in Japan, or...
Jon Leinster: Yes, mix -- I mean clearly, you've absorbed the tax increase in October, s they moved to the sort of weight-based system to the more sort of...
Jack Bowles: I mean the situation -- but Tadeu, you can complete on that one. The situation in Japan is very simple. Glo has grown segment share, glo has grown total nicotine share; and glo is taking a very big part of the growth of the segment in Japan. So we are very happy with the results in Japan. We are present in multiple price points in Japan like the competitors are and we'll continue to do so. So, I think that our pricing at the moment is competitive. And if there are some tax increases, then we'll take the decision at this time. But I think that the momentum that we have, does not need us to be overly aggressive in terms of this environment. It's not about giving you pricing guidance. I'm just saying, we have a very strong brand that is growing very fast and that is acquiring a lot of consumers. We are taking more than our fair share in terms of the growth of the segment and we'll continue to do so. So we are present in multi-price points already and we'll continue to do so.
Jon Leinster: Okay. Really I guess really the point of the question was whether the tax situation in October this year would be unfavorable to glo vis-à-vis the other competitors and perhaps the way it was in the last year?
Tadeu Marroco: Yes. In the past, you're absolutely right. The characteristics of our products means that the equalization of tax hit us disproportionately, because we had a lower level of incidence of excise. We were before in a super slim product. And the difference between weight base as to the weight that they changed, the way to calculate the tax means that the hit in terms of incidence for us was higher than competitors. So we had to absorb some of those excise otherwise we'll be out of the market in terms of price competitiveness. Our decisions moving forward will be around the tax that we know, how we have been pan out but also competitive landscape. So, we haven't made the full decision yet. We still have some months to go and we'll be analyzing where we stand in terms of competitors and making a final call on that.
Jon Leinster: Okay. Thanks. Secondly, a general question. You've outlined in terms of NGP the sort of cost reductions that are possible in marketing and then trade margins and also cost of goods sold. Would you -- could you outline sort of in broad terms, which of those areas is the most important?
Jack Bowles: Well, I would say that the three areas are extremely important. The most important one is scale. And scale drives the three elements that we spoke about. And -- but Tadeu, you want to say something more? Yes.
Tadeu Marroco: This is a -- which category specific? Sorry I missed your first...
Jack Bowles: New Categories in general.
Tadeu Marroco: New Category in general. Well, look -- yes look, the trade margin is more relevant in the vape space for sure. And it's not that much in the orders in the THP on the Modern Oral space. But the COGS like Jack said is permeating everything. And the level of savings that we are making being able to make when you move from more niche towards a more global player is massive. And this is a big driver for us moving forward.
Jack Bowles: We have now the scale that we need as a foundation as a bedrock in order to continue to accelerate the development of our New Categories and we will do so. Scale is critical. Now we have the bedrock then we continue to build on that foundation.
Jon Leinster: Just to follow-up on that. Are you seeing – I mean, you've talked in the past about automation particularly from the supply base. Is that now starting to come in particularly in vaping, or is that still handmade?
Jack Bowles: No, no it is coming in automate – it's still coming. It is sorry – it is coming now and we've already started that. And we are building the lines accordingly for automation. And automation – as I said scale is the most important. That's what I was missing in the equation a year ago. Now, I have the scale that I need in order – in the three categories to do automization, to do rationalization, to do digitalization of the supply chain. Then on the side of the product itself, I can do now RGM. As Tadeu said, now 75% of the business is on RGM and that's extremely important for us. So then it becomes a self-fulfilling prophecy of a business that is growing at pace. And we'll continue to invest because as I said, we will invest a lot of money this year. As you saw, we invested £360 million in the first half of the year, which is more than the increase that we did last year. So that comes on top. And we continue to accelerate. And at the same time, we will have a reduction of our losses at the end of the year in New Categories. So I think that's why I'm speaking always about the pivotal year. This plus the three net debt to EBITDA gives us the possibility really to charge ahead in terms of our development and we're very proud of the results.
Jon Leinster: Yeah. Thank you. And lastly, currency transaction I think you said is 2% of EPS this year. As you look forward into sort of – particularly into 2022 given the hedging policies are we likely to see a sort of similar currency transactional impact in 2022, or is it more favorable?
Tadeu Marroco: Well, this is a…
Jack Bowles: Your crystal ball is at work. 
Tadeu Marroco: Yeah, this is a difficult question. At the end of the day, the – we are seeing a lot of the weakness coming mainly on those emerging markets where we have to import goods for example for our inputs for our product costs in hard currency and where it's mostly where we see the transaction. They are badly hit now because of the COVID. So it's – your guess is as good as ours. But at the end of the day, the large goods say, if you have an improvement situation in COVID and who knows what will happen in COVID, maybe there will be some recovery in those markets and hence a less impact. But I have to say this is a tough one for us to forecast.
Jon Leinster: Okay. Thank you very much for that.
Tadeu Marroco: Thank you very much for your question. Thank you.
Operator: Thank you. The next question comes from the line of Jared Dinges from JPMorgan. Please go ahead.
Jack Bowles: Good morning.
Jared Dinges: Good morning. Hi, Guys. I know, you've done very well in terms of THP volumes. It's well ahead of peers now. 
Jack Bowles: Thank you. 
Jared Dinges: And the volume share gains are definitely positive to see. But I want to ask about your THP revenue. So in the first half actually your constant currency revenue growth in THP it was just in line with your key peer, which implies that you guys aren't actually gaining any value share in the category despite the launch of glo Hyper. Can you maybe talk about when you'll be out of investment mode on devices and maybe when we can expect price/mix in general in THP to turn positive? Thanks.
Jack Bowles: You know, two years ago everybody said that, I didn't have a chance in hell to get the position in terms of THP. Now, we're speaking about what is the pace of the growth that we're having. I think it's a much better situation to be in for BAT. And I must say that the performance that we have in terms of THP, where we have as we said pricing index of 92% or even above that in terms of the price of the consumables is a very good performance. We are growing share everywhere. We are growing share everywhere. And we are only present in half of the total number of markets, where THP is selling. So I think we're doing extremely well. Now, of course, we are doing some investments because we're in consumer acquisition mode in terms of the devices, but everybody does. And depending on the geographies everybody does. So I'm not going to go through a very long and exhaustive list, but there is a lot of space for us to grasp in terms of THP. And as I said, two years ago, everybody said that, we won't be there where we're now having a very strong acceleration in terms of THP in volume more than 50% in the second half of last year more than 50% -- more close to 100% in this half of 2021, and we'll continue to accelerate. So it's a question of right balancing of growing the brand. And as you saw in the marketing indicators, the brand indicators that we're having we're doing very well and our awareness is growing very fast. So we're in acquisition mode and we'll continue to do so. But we have also defined a path to profitability for THP. But Tadeu? 
Tadeu Marroco: Yeah. I just want you to have a look on the vape side. For the vaping, we had this type of gap a couple of years ago. And if you see now they are getting much closer and – because it's working, and you would expect this – because at the end of the day glo Hyper is in the market a bit more than a year just. So, we are in a very emerging phase of our level of investment different from vapor where we have been for some time. And the dynamic of vaping is probably will be mirroring what we'll be seeing in the THP side. The good thing is like I mentioned before we are increasing conversion. And that's the most important indicator for us. So, we are making the investments, the investment is paying back. It's not that if you take it out, we lose it, because the conversion is there and this translates into loyalty and then we have a business that is sustainable over time. 
Jared Dinges: Okay. So, just to be clear you're not going to -- so basically, no exact kind of timeframe on how long the investment mode will last on devices but you'll continue to do so as long as you're expanding. Is that fair? 
Tadeu Marroco: Yes. Because at the end of the day we are in expansion mode as well. We are in half of the markets where THP is present. So, there is still a lot to come as well. And then whenever you see a number of -- our numbers will be always a consolidation of -- in different stages of investment.
Jack Bowles: Yes, that's the point different stages which means that in different geographies, you will see different things. But we are in growing the category and growing our share of that category which we are doing strongly in the first half of the year.
Jared Dinges: Got it. Thanks guys.
Jack Bowles: Thank you.
Operator: Thank you. The next question comes from the line of Sanath Sudarsan from Morgan Stanley. Please go ahead.
Jack Bowles: Good morning.
Sanath Sudarsan: Good morning both. A couple of questions from my side. First of all can you just give us more color on the NGP investments made this year? And how do these differ from investments made last year? And can you also clarify whether the NGP business or losses in the first half were lower than last year? And then secondly --. 
Jack Bowles: I remember always I'm French I'm a bit slow. So, I can go only question-by-question. And even that question, I will speak between the first half for me and the second half. So, the first half of the question was sorry?
Sanath Sudarsan: Just more color on the NGP investments you made this year and how do they differ versus what you made last year.
Jack Bowles: Okay. So, we said in the previous periods that first we were in an initial phase two years ago of building the capabilities and building the R&D. Now, we are in the phase of acquisition of consumers and building the brands. So, we are really in the phase of building the brands. And I must say that we've done a lot of investment in terms of THP. So, what has changed if you want compared to last year full year is that there is more on THP at the moment than there was before. But you saw also that the total number has increased by £360 million. So, we are putting the money where we need to put it in terms of consumer acquisition and brand building because consumer acquisition alone is not enough. Now, we are in the phase of building the brands and having the right levels of awareness and having the right level of brand content. You want to--
Tadeu Marroco: Yes. One of the differentiations for example from one year Sanath is more on the listing fees. As we are expanding into new markets, you have to pay listing fees when you get into for example new key accounts and so on. So, this is a natural movement when you do. But the bulk of these extra investments are the traditional market investment building the brand like Jack referred to. This is the digital bit. This the social side of it, the social media side of it and so on. So, that's more or less the... 
Sanath Sudarsan: That's clear. And also just I hear about the guidance being for the losses to reduce in the full year for NGP. Has that happened in the first half also?
Tadeu Marroco: No, this didn't happen in the first half because we have been weighted in the first half of the year and hence you see the operating margin in a very big drag coming from new categories. This is a consequence of that. And--
Jack Bowles: And getting the consumers it will pay off in the second half.
Tadeu Marroco: Yes, you'll probably see this drag to reduce in the second half as a consequence of that. But the fact that has been weighted in the first half means that our reduction loss will materialize in the full year.
Jack Bowles: We have a very clear pathway per category and for total new categories in terms of the road to profitability. Now that we start to have scale and that we start to have a very strong momentum in two halves of -- consecutive two halves of years, now we can really pan out all this. And I must say that digital is helping us a lot in terms of the brand building and in terms of modelizing all this. So, we do resource allocation every month. It takes Tadeu and myself a lot of time every month to make sure that we do all the resource allocation and that we navigate all this. And we are very happy with the progress that we are making.
Tadeu Marroco: Just one more comment on this because it's important for you to notice that some of these gross investments is reducing the revenue side. It's not that it's all related to below revenue. So when you see our revenue numbers they are at net of some of these investments that we are referring to.
Sanath Sudarsan: Got it. Yes. Thank you. And the second question is just trying to understand -- I mean you've done an incredible job with the cost savings and delivered that a year earlier.
Jack Bowles: Thank you. 
Sanath Sudarsan: You've now guided for a higher number of cost savings. But what we've seen over the last two years is this cost savings basically being absorbed into NGP investments. Is that something we should continue to expect probably for this incremental cost savings that you're going to now deliver? And probably there's even more to come. And then, in terms of how can – or when should we think about NGP business becoming self-sufficient in terms of funding for its own promotions et cetera, along with being lost – reducing your losses? 
Jack Bowles: Yes. First of all, I mean these cost savings you have to see them in two ways. First, it's increasing the efficiency and adding new capabilities to the business. Hiring people, we've hired more than – now to date since we started that journey a year ago, a bit more than a year ago, 500 new managers joined the company in capabilities that we didn't have before. So it is simplifying and increasing the efficiency of our business, giving us the new capabilities, and at the same time saving a lot of money. Now that's saving of a lot of money, I'm very adamant on the fact that we're going to continue to accelerate and that's now £1.5 billion instead of £1 billion. This gives me the flexibility to invest in the business or to allocate where I need to allocate that money. So we start from the genesis of the financial algorithm we will deliver. Yes? That's the kind of the line in the sand. Then we look at our New Categories and we see all the money we need to invest. And I don't think Tadeu in 2021, once we said no to a valid acceleration plan in terms of investment and we do resource allocation every month, so that's kind of the water line. But first it is about developing the business and making sure that we have the resources that we need. So we use that money either for additional investment in new categories or for the things that we need or headwinds that we can face as we spoke about earlier this morning. Tadeu?
Tadeu Marroco: Yes, that's absolutely, right. So these savings will be primarily to invest and to deliver our financial commitments. That's what you expect. In terms of the journey, we said 2025, this will be the self-sufficient position that you are referring to. This give us the space for us to make the rollout, the geographic rollout the investments that we need to up to that point. But more importantly is that the losses that we had in 2020, last year start reducing from this year. So from now until 2025, when you get this self-sufficient situation including all levels of costs that are involved in the category including R&D for example, we will be earnings – will be earnings accretive for the group because we will be reducing loss over time. So there will be two drivers of – for us to benefit from in terms of allowing us to deliver their financial commitments. One is the saving agenda. Like you rightly point out even after Quantum, we're going to have some levels of continued modes of saving, continuous improvement moving forward but also the reduction in losses in New Categories coming forward.
Sanath Sudarsan: Thank you. So just to understand this in a simplistic manner, the line in the sand on your financial algorithm can actually move ahead and move higher? 
Jack Bowles: We will take these decisions as we go along. I think that we have reached a point now, where we're getting close to that pivotal year that I was speaking about before, which is net debt to EBITDA around three and delivering our financial algorithm and growing the New Categories in terms of consumer acquisition and revenue with the path to profitability. And we'll make the calls as we go along. I'm a long-term person but I like a lot, very speedy growth and not at the detriment of the financial algorithm. So I'm balancing all the different elements. We spoke about a very straight jacket two years ago. And now I have a bit more space so I can accelerate and do the right things. I have the right products. I'm having a very, very good performance in terms of value creation in our combustible business. I'm doing very well in the US, Emerging markets I'm benefiting from it, though it has some impact in terms of the margin per 1,000 it's lower in the emerging markets. But altogether, the whole thing is going in the right direction. So from a position of strength I can continue to motor forward. There will be some headwinds. There will be some things that are happening but I will have more defense mechanism if you want in order to handle that. And the fact that our base in terms of New Categories now is a bedrock solid foundation with 16 million consumers and growing revenue by 50%, gives me the ability to continue to power forward.
Sanath Sudarsan: Okay. Great. Thank you very much.
Jack Bowles: Thank you.
Operator: Our last question for today comes from the line of Patrick Folan from Redburn. Please go ahead.
Jack Bowles: Good morning.
Patrick Folan: Hi, good morning. Thanks for taking my questions. My first question is on the Btomorrow Ventures, which is quite interesting especially being part of the Beyond Nicotine...
Jack Bowles: Yes, thank you. That's something that we've created, Tadeu and myself I think the day we arrived. We said, we want to have a venture capital capability in the company in order to be able to acquire capabilities that we don't have. You don't have to do everything inside. Acquiring capabilities, acquiring technology and acquiring the different pieces of the puzzle that creates your ecosystem to be able to continue to grow and especially related to R&D and to brands and products.
Patrick Folan: And is this the main focus for pushing the Beyond Nicotine strategy, or can we expect potential M&A investments outside of this venture unit?
Jack Bowles: Sorry, I didn't get the last part of your question. The line was not...
Patrick Folan: So is this the main focus we can expect for the Beyond Nicotine strategy, or will there be potential M&A outside of the actual venture unit?
Jack Bowles: Yes. I mean what you have to consider is there's a lot of internal capabilities that we have. We have a very competent people like David O'Reilly that is driving science in the company very capable people like Paul Lageweg and all his team that are driving New Categories. And I think that in R&D in science and in marketing we have the capabilities that we need. So, it's an accelerating mechanism that venture capital arm in order to get the missing pieces of the jigsaw. So we have a lot of internal pieces of the jigsaw. We do a lot of investment in BAT in terms of Beyond Nicotine. And we acquired what we need to complete the full puzzle. We have defined three clear consumer spaces that we want to be in. We have a frame of reference in which we want to operate. By the way I gave that frame of reference in terms of where we want to be in terms of Beyond Nicotine, two years ago in the Investor Day. So I go back to the deck yes and you will see that we're extremely consistent in what we are doing. So I think that we're in the right space related to that. First of course, we have an established business in New Categories that is working very well. And we're doing the test and we're doing the development that we need. As I said in my presentation it covers the whole gamut of the capabilities that we have to have. And we do pilot tests as we go and we have a lot of knowledge further and beyond only nicotine. We have given in the full year last year results a lot of understanding in terms of the areas in which we are working. 
Patrick Folan: Okay. Great. My second question is I believe you mentioned that one billion cigarette packs will be carrying messaging to switch your consumers to your NGP portfolio. Can you elaborate more on that? 
Jack Bowles: Well, I find it very important. You have to be consequent. I'm there to transform with the team. I'm there to transform BAT and reduce the risk for the consumers. So very clearly when you're selling cigarettes, you have the I would say the obligation to communicate to the consumers that you're having on combustibles that there are other products that are available. Yes? It's not by forcing consumers to go somewhere that you will have the right attitude and behavior. Everybody that has done. five minutes of marketing will tell you that. You have to inform the consumers and to attract them into these new categories with the right understanding of these reduced risk products. And I think that's the way it works. So we are putting in one billion of our packs because you have a lot of limitations related to geographies where you can put something. There's lots of countries where you cannot put an insert on a pack or you cannot promote even if it's New Categories nothing you cannot promote anything from the pack. So all the countries where we can and all the countries where we have the capabilities, we put inserts or EN code or everything that we can, in order to bring the consumers to informative websites or even to the products directly if we can because I strongly believe that we will in time transfer the consumers from combustible to these New Categories. And the development of these new categories will improve as we go along. We have a strong pipeline of innovation and I'm very proud of that. Did I answer your question? 
Patrick Folan: Yes. And I was just wondering is there any target markets you have for that messaging on the cigarettes? 
Jack Bowles: I would say -- yes I would say first the blanket approach is the right way to go. You have to inform as many consumers as you can. After that there is the capabilities that we have and there's the regulation in the different countries. But as a default mechanism everywhere because I think it is important to transfer the consumers from combustible to new categories. Yes? 
Patrick Folan: Okay. Yes. 
Jack Bowles: And until everybody has migrated, I'm going to extract value on combustibles until there are smokers that are legally paying taxes in the different countries. Okay? 
Operator: There are no further questions in the queue. So I'll hand you back to your host Jack Bowles to conclude today's conference. Thank you. 
Jack Bowles: Well thank you very much. I think that -- I mean we are very proud of our results in this first half of the year as we were proud of the results last year. But really this time it is about growing the revenue on multi-category. So we are very pleased with our first half results. Our multi-category it is multi-category yes multi-category strategy is working and our transformation is accelerating. We are building strong global brands and embracing digital across the group. BAT is changing at high pace, powered by our ethos. And I'm excited about the future of BAT. Thank you for listening. And I hope you will have a safe and enjoyable summer better than what we have in the UK at the moment. Thank you very much. Bye-bye. Thank you Tadeu.